Operator: Ladies and gentlemen, thank you for standing by and welcome to Karora Resources Fourth Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator instructions] I would now like to hand the conference over to your speaker today, Oliver Turner, Executive Vice President, Corporate Development for Karora. Thank you. Please go ahead, sir.
Oliver Turner: Thank you, operator. Good morning, and welcome to the Karora Resources fourth quarter conference call. Before we get started, Paul Huet, Karora's Chairman and CEO, sends his regrets he cannot be in today's call as he completes critical preparation for his and his family's imminent relocation to Western Australia. Paul's relocation to Australia is a significant positive step forward for Karora as he joins on the ground to lead our growth plans and strategic initiatives going forward. Speaking on the call with me today are other members of Karora executive management team, including Graeme Sloan, Managing Director of Australian Operations; and Barry Dahl, Chief Financial Officer. This morning, we issued a news release outlining our very strong results for the fourth quarter and full year 2020 results. Our MD&A and financial statements for the period ended December 31, 2020, have been filed, all of which are available on the Karora website or under Karora's profile on SEDAR. Before I begin my presentation, I would like to remind you to please review our cautionary statements regarding forward-looking information and non-IFRS measures, which can be found in our MD&A news release and on our presentation slides. So thank you to all of you who have joined us today for our call. As we are all aware, it has been a challenging time for all of us over the last year as we have navigated the uncertainty associated with the global pandemic. I want to start by thanking the entire core team for delivering an outstanding performance in a difficult period of time. There are literally too many accomplishments to highlight them all, but I will provide a brief summary and then tell you, why I am so excited about the road ahead of us, both as partners and shareholders of Karora. With respect to 2020, I'll start with a few major achievements. For the full year, we delivered production just shy of 100,000 gold ounces, which handsomely beat the top end of our guided range of 90,000 to 95,000 ounces. As we continually reinforced over the course of 2020, cost reductions were a major focus of both management and operations during the year. We delivered on that target with 2020 all in sustaining costs coming in at $1,026 per ounce, below the bottom end of our guidance of $1,050 to $1,200 per ounce. Not only that, but in the fourth quarter, we recorded our lowest quarter on an all-in sustaining cost basis since the acquisition of the Higginsville mill in 2019. All-in sustaining costs for the fourth quarter came in at $912 per ounce, a tremendous achievement and a strong beat of our target of reaching AISC of $1,000 by the end of the year. Well done to everyone. On the financial front, robust operations, along with major reductions in royalties and the elimination of hedges to record annual net earnings of $88 million for 2020 which included net earnings of almost $43 million in the fourth quarter. Lastly, but certainly not least, in December, we delivered a new consolidated gold reserve and resource estimate, including a 334% increase in 2P reserves to 1.33 million ounces and a 167% increase in M&I gold minerals resources to 2.52 million ounces. All of these accomplishments are the result of our strategy to reduce costs, increase productivity and set Karora up for growth. For 2021, we have increased our gold production guidance range to 105,000 to 115,000 ounces, which is a 20% increase compared to last year's guidance, and we have lowered full year AISC guidance by 8% to a range of $985 to $1,085 per ounce. As we are all aware, Karora has an extremely large land position of over 1,900 square kilometers of highly prospective ground from which to grow our already strong reserve resource base in one of the most prolific gold regions in the world. To continue our success in unlocking the potential of our assets, we have increased our exploration and drilling budget to AUD20 million in 2021. This is the largest exploration budget this land package has seen since the last bull gold market, and we're certainly excited to see what we can find with the drill bit. With respect to progress in the first quarter, operations are tracking in line with our mine plans. We have begun deploying capital towards our growth initiatives this year and have worked through a couple of months of planned slightly lower grade open pit ore in preparation of sequential improvements in grade as we move through 2021. Looking beyond 2021, our team is working hard to deliver a multiyear organic growth plan, which we expect to outline to the market in the second quarter. To support this growth plan, as announced last month, Paul will be relocating its family to Western Australia. His 30 years of mining leadership and operational experience will certainly be a key factor in delivering this plan alongside Graeme Sloan to take core to the next level. Before I hand over the call to Graeme to continue to outline our operational performance, I would like to reinforce how excited we are as a firm, and I am personally with respect to where we can take this company over the next few years. Buckle up it's going to be fun. At this point, I will turn the call over to Graeme to outline a fantastic year of operations.
Graeme Sloan: Thank you, Oliver. By all measures, our operations turned in a strong performance in 2020. First and foremost, the health and safety of our personnel, this is our top priority and I'm pleased to report we have been LTI free at our Higginsville operation for over 700 days and at Beta Hunt for over 230 days. Both are outstanding results and reflect the positive culture and dedication of the entire Karora team, which include our contracting partners. During the fourth quarter, we bolstered our emergency response teams with new equipment and additional training, along with new and upgraded medical facilities at both sites. And I must say, I'm extremely proud of the professional and diligent approach our people have taken in this crucial area. On to Slide 6, operational highlights, Higginsville. On a consolidated basis for the full year 2020, we processed over 1.3 million tons at an average grade of 2.33 for just under 100,000 ounces. This is an increase of 75% and 54%, respectively, when compared to 2019. Mill recoveries averaged a very respectable 93% for the full year and for the fourth quarter. We also finished the year in a high with just under 26,000 ounces produced in quarter four, our best quarterly production for the year. At Higginsville, we continue to operate the mill at full capacity with average mill availability exceeding 95%. In 2021, we're expecting the average mill grade to increase in the latter half of the year as a result of the higher grade Spargos project coming online and production from Karora's first ever underground mine at Higginsville Central. We're also planning on increasing the throughput capacity at Higginsville from the current 1.4 million tons per annum to around 1.6 million, an increase of approximately 550 tons per day or 15%. We should be operating at this level later this year. Oliver has already provided guidance for the year. However, I did want to add that the guidance does factor in the increasing grades and increased mill capacity. This being the case, we'll see our production for this year, slightly weighted towards the second half. Slide 7, operational highlights, Beta Hunt. For the full 2020 year, Beta Hunt contributed a total of 56% or 745,000 tons of the 1.3 million tons processed at an average grade of 2.8 with just under 66,500 ounces, a 77% increase over 2019. This is significant. However, it should be noted that Beta Hunt production was ramped down we slowed down in late 2018, early 2019 to allow completion of our transformational resource drilling campaign being undertaken at that time. On a quarterly basis, Beta Hunt's total tons milled was 182,000, down slightly on the third quarter, although gold production was up 9% to just under 17,000 ounces due to a higher grade. In the second half of 2020, Beta Hunt mine production averaged around 60,000 to 65,000 tons per month. That's an increase of approximately 20% compared to the start of the year, the increase, largely due to an upgrade of the mining fleet and improved stope production techniques. During the year, we added two new trucks, 60 ton trucks and one 2,900 loader. And this year, we'll add a further two trucks and two loads, all aimed at improving load haul efficiencies and lowering costs. Production will again be centered around Western flanks and A zone with the new Larkin zone expected to come online in 2022. Slide 8. As Oliver earlier pointed out, we delivered a record increase in gold resource and reserves, adding close to 500,000 ounces to our 2P reserve inventory at Higginsville and over 175,000 ounces at Beta Hunt. This is a huge undertaking and a real credit to our project and geological teams. This year, our total exploration spend will be $20 million, a significant increase from the $10 million budget at the start of 2019 and then subsequently increased to 15 midyear. And why such a large increase? Well, we have the strong opinion that there's huge room for growth in our resource and reserves. And I certainly look forward to a resource inventory update this year and in future years. Slide 9, Higginsville exploration highlights. At Higginsville, exploration is focused on completing the Scout Aircore drill program on Lake Cowan. For most of the year, Lake Cowan is a dry salt lake that extends many kilometers to the South and north. In fact, it's part of the same lake system that covers a large part portion of Kambalda's 15 million historic ounce production and Norseman 6 million ounce. To date, there has been very limited drilling over this highly prospective area. Initial assay results from the scout drilling have been extremely encouraging, including an intersection, we released in early February of 1.35 grams per ton over 50 meters, including 3.6 over 16 meters. Now typically, with this type of drilling, anything above 20 parts per billion is classed as interesting. To achieve a result in grams per ton is, therefore, very exciting. Other exploration drill targets at Higginsville include Mt Henry and the Sleuth trend, which contains the Baloo deposit and Nanook monsoon prospects. These areas will continue to be tested throughout the year. Our resource definition team will focus on near-mine targets within Higginsville central, close to the Higginsville plant and will include Aquarius, Two Boys and Trident. Our aim here will be to expand the resource base and convert as much as possible into the higher 2P category. Slide 10. At Beta Hunt, recent exploration drilling has focused predominantly on upgrading and extending the northern up plunge margin of A zone, the newly discovered Larkin Gold Zone and testing nickel trough extensions in the beta area. At Larkin, drill results from the first two follow-up drill holes returned an impressive 19 grams over 9 meters, including 542 grams over 0.3 of a meter. These were reported in our February 1 news release. What is important, the Larkan zone is located directly beneath the new 30C nickel discovery. So mine development in this area will have a dual-purpose of servicing both gold and nickel, a simple, cost-effective and efficient use of the personnel, equipment and mine development. The third C nickel zone is the first new network discovery in 13 years at Beta Hunt. And to date, we have multiple intersections ranging between 2% and 9% nickel over 1 to 4 meters, as shown on Slide 10. If the 30C continues to deliver, it could prove to be a very important by product credit to our gold production. So we look forward to providing more drill updates on nickel in the near future. Also on Slide 10, you'll see a range of impressive high-grade gold results for the Larkin zone, none of which have been included in the current resource and reserves. We expect the Larkin zone to be included in the resource update later this year. On to Slide 11. Last November, we announced some outstanding drill results for Spargos project, including multiple intersections of nearly 30 grams per ton over 15 to 19 meters. These can be seen on Slide 11. Our resource definition team is targeting mineralization over a 400-meter strike to a depth of approximately 100 meters. At this stage, we're still expecting to be in a position to commence mining in the latter part of quarter two, so exciting times here at Spargos. So overall, a very good year, a strong quarter to finish and a good start to 2021, I look forward to welcoming Paul, Joyce and their family to Australia and delivering on our plans for this year, so exciting times ahead for all. I'll now turn over to Barry Dahl.
Barry Dahl: Thank you, Graeme. I'll provide a few financial highlights from the year and the quarter. Please turn to Slide 13, financial highlights. 2020 revenue was $239 million or up $111 million or 87% compared to 2019. The year-over-year increase in revenue was due to higher average gold prices and higher production. Q4 revenue was $69 million, up $10 million or 17% compared to the prior quarter. The quarter-over-quarter revenue increase was primarily driven by higher gold sales due to the timing of sales, which offset a slightly lower average realized gold price. For 2020, net earnings were $88 million compared to $7 million loss in 2019. 2020 net earnings benefited from an after-tax impairment reversal in the third quarter of $25.3 million. For the fourth quarter, net earnings were very strong, coming in at $43 million. The operating earnings for 2020 were $99 million, including an impairment reversal in respect of our beta hot mine of $36.1 million, which was realized in the third quarter. For the full year 2020, cash operating costs were US$925 per ounce. And ASIC costs were US$1,026 per ounce sold, in Q4, cash costs were US$843 and AISC costs were US$912 per ounce. We finished the year with a much stronger balance sheet with a cash balance of $79.7 million, an increase of $45 million compared to December 2019, and $12 million compared to September 30, 2020. Working capital was $57 million, as at December 31, 2020, an improvement of $30 million compared to the prior year and $13 million compared to September 30. I will now turn the call back over to Oliver.
Oliver Turner: Thanks, Barry, and hello again, everyone. Over the course of 2020, we put in place a number of measures designed to emphasize Karora's strategic direction and to focus on our gold operations and strengthen the attractiveness of our shares for investors. In July last year, we sold our remaining 28% interest in the Dumont Nickel Project for an immediate cash injection of $11 million. However, importantly, we retain significant leverage to what has been a volatile but very exciting nickel market. Upon the eventual sale of Dumont, we retain exposure to up to an additional $30 million, a very healthy cash injection for Karora shareholders. In June last year, we rebranded the Company as Karora Resources to underscore our strategy to grow as a gold company. After the rebranding, we followed up with a strategic decision as voted on by our shareholders to consolidate our shares by a ratio of 4.5:1. This decision was taken for a multitude of reasons not the least of which was to increase the investability of our shares for institutions and those wishing to leverage their investments with the use of margin. This has turned out to be a very successful decision. Since the consolidation, Karora's average daily traded dollar value has more than doubled to $4.6 million per day from $2.2 million per day prior to the consolidation. When we talk about institutional grade investments, Karora shareholders can be proud to say that we certainly check the box when it comes to daily traded volume. As we all know, the gold market had a challenging start to 2021. In fact, core shares have outperformed our peers by being down slightly less. I know that doesn't sound like an achievement, but it certainly is. And this is a direct result of the sticky, long-term institutional shareholders that have we have brought into the story along with our strongest retail shareholders. We are very grateful for your support and are confident that greater times are ahead for the gold complex in general. In line with our continued view that Karora shares are undervalued, we have been actively repurchasing our common shares under our NCIB. Since the NCIB was announced last April, 278,000 shares have been repurchased for cancellation at an average price of $3.14 per share. When we consider the fact that we issued shares as part of our buyback of the Ramelius royalty at significantly higher prices, this has turned out to be an excellent decision. As shareholders ourselves, we are committed to minimizing dilution, but understand that most counterparties are as excited as we are about the upside in Karora stock. Often, as is in the case in all negotiations requiring a mutually beneficial agreement, this leads to an issuance of shares to the counterparty. As a result, we have strategically executed our NCIB in order to eliminate that dilution and, in fact, reduce the effective buyback price. It's a great outcome for all Karora shareholders. With respect to the NCIB, the current plan expires on April 16, 2021, at which time we expect to renew the program. Another initiative we have recently undertaken has been to engage the services of 6 Inc to improve our engagement with investors. Core's first live event with 6 was held on March 11 with both Paul and myself presenting, the event was extremely well attended and feedback has been very positive. We intend on holding future events on the 6 platform from time to time as material events and updates warrant. We are also working with 6 to bolster our online presence across multiple media platforms to increase investor awareness of the compelling investment thesis and potential of Karora shares. Moving forward, there are several catalysts to look forward to over the course of 2021. First and foremost is our multiyear consolidated organic growth plan, which we are targeting for release during the second quarter. Next, we anticipate the startup of mining at Spargos by the end of the second quarter and have already started preparatory work for the Phase I mill expansion at Higginsville, which we will complete during the second half of the year. Later in the year, we plan to issue our 2021 consolidated resource update, which, very importantly, will include the Larkin Gold zone at Beta Hunt for the very first time, certainly an exciting event. Lastly, we continue our due diligence ahead of a potential ASX listing in the second half of the year. So overall, there is a lot to look forward to in 2021 for Karora investors, and we expect a very exciting year ahead. With that, I'll turn it back over to the operator for questions.
Operator: [Operator Instructions] Your first question will come from Tom Gallo from Canaccord Genuity. Please go ahead. Your line is open.
Tom Gallo: Congrats, gentlemen on a great quarter. I've got two questions here. First, with regard to all-in sustaining costs, it came in, as you mentioned, Oliver, well below your guidance range at $912 an ounce for the fourth quarter. Should we expect to see these levels going forward? Or should we expect to see you more in line with your guidance range? And also, if you could sort of give some color on quarter-over-quarter, what we'd expect from a cost profile.
Oliver Turner: Yes. Thanks, Tom. So yes, it certainly was a tremendous finish to the year, and we were very pleased to record that obviously, the improvement in the all-in sustaining cost metric came from several avenues. We were able to sell more gold ounces during the quarter, which was quite successful. We were also due to the sequence of timing moving into slightly lower sustaining capital periods at both Fairplay North and the Blue open pit, which benefited the cost metrics for the quarter. In 2021, obviously, we're guiding all-in sustaining cost guidance of $985 north to $1,085. And we certainly expect to be more so in that range. During the first quarter, we would expect, as we deploy capital into our growth plans, and we can kick back up some of the sustaining cash flow expenditures to move more into that guided range.
Tom Gallo: Okay. That's very helpful. And then secondly, just with respect to the ongoing COVID situation. Across the world, but specifically in Western Australia, have you seen any cost pressures or constraints on materials, labor, movement of supplies as a result of travel bans and things like that?
Oliver Turner: Yes. So I think I'll hand that question over to Graeme.
Graeme Sloan: Yes, Tom. Look, we are seeing certainly some movement around people, people sort of sort of moving from sort of company to company, which has a sort of a bit of an impact on your sort of your costs around that personnel. There are some -- there is a little bit of sort of delays in some of the supplies. But overall, we -- I must say, we've been pretty fortunate. We have a very good, strong core of people who attract other people to come in. So overall, our personnel, although we see some movement, we've got plenty of sort of coverage for what we need, and it's not overly impacting on our costs. And some of the other projects around that we see there, it is starting to. And if it goes on, it may well impact it. But at the moment, we've handled it really quite well.
Operator: Your next question comes from Nicolas Dion from Cormark. Please go ahead. Your line is open.
Nicolas Dion: Congrats on another great quarter. Just one question for me, which I think you partially answered, but maybe you could just elaborate on a bit. Which exploration areas are you most excited about as you continue with your drill program this year?
Oliver Turner: Yes, that's a good question, Nick. And certainly, lots of different areas that we're expected to drill with the $20 million budget we've outlined this year. But I'll hand that one over to Graeme as well to get into some more specifics.
Graeme Sloan: Yes, Nicolas, it's -- actually, we're really quite blessed with a number of excellent project targets to drill. In particular, if you sort of break it down into two areas, truly greenfield areas, sort of the that would go into that, the Lake Cowan and the lake aircore drilling that we're doing. That intersection we hit out there that 50 meters at 1.4 grams or 1.35. For that sort of numbers to come up, it really is truly exciting. So that's got to be a follow-up area for us. Some of the work around the further south around the Sleuth trend and again, also on the lake and around the monsoon, there's some historical holds drilled early on in the piece, and there are some very big numbers that the previous company wasn't able to replicate. Well, we've got a slightly different model. And so we're looking at that. And sort of then when you move in the central area around the plant, we've just engaged a group, and this group is now starting to compile a lot of the data, structural data and drill grades, space mapping, the whole data package, if you like. Putting that all together, they're starting to outline a number of targets. And I must admit, some of those really test the previous theories that we had in place. And certainly, we're looking forward to drilling that. And they will start to be drilled in the next couple of quarters. So hopefully, we'll be able to report back on those. So that's around the central. And then obviously, we've got some good targets in and around Spargos. And then if you move into Beta Hunt, look, there's any number there around the gold, Larkin looks great, 30C looks good as far as the nickel. And there's another area we're drilling now. And hopefully, if that comes up, we'll we have to release those results as well. So all in all, we're, as I said, really blessed with a number of targets. We've got a big budget, a really good experienced exploration team and a resource definition team to back that up as well. So all in all, 2021 should be a good year as far as exploration.
Operator: Your next question comes from Matthew O'Keefe from Cantor Fitzgerald. Please go ahead. Your line is open.
Matthew O'Keefe: Congratulations, a very good year. Just a couple of questions for me. First with respect to the plant expansion, is that -- what's the budget for that? And is that included in that $20 million spend -- capital spend you mentioned regarding exploration? Or is that separate and what's the amount?
Oliver Turner: I'll take that one. So that is outside of the $20 million budget that we have for exploration, but of course, is in our capital budget this year. It is in the low single-digit millions for that expansion. We're quite fortunate that, in fact, it's more of a debottlenecking exercise, where we are making some adjustments to certain components of the front end of the mill here that are allowing us to improve flows through the mill. So we've actually been test milling the mill slightly above nameplate capacity quite successfully here. So that is part of the reason why we're very confident in reaching 1.6 million tons per annum by the time we exit 2021, so a very cheap expansion.
Matthew O'Keefe: Okay. And are there any constraints for further expansions? And are those being considered as well, like maybe in a year or 2?
Oliver Turner: Yes, absolutely. We're currently conducting study work that will form part of our organic growth plan on further expansions to the mill. I'll hand it over to Graeme here elaborate in a second, but there certainly is the skeleton in the frame for that mill to do much more than 1.6 million tons per annum. Graeme, I don't know if you have some further thoughts.
Graeme Sloan: Yes. So it's certainly -- it's one of those plants that was well built. It's not that old, and there's plenty of real estate we can actually add to that plant. So it's -- the plant number would be somewhere between the sort of the low 2s to sort of the high 2 million, so that sort of number. It needs -- it's -- we're undertaking the initial engineering study as we speak. So we're starting to get a good feel for what's there. And as I said, that will then sort of lead to the final decision on what size that will be. We do have lots of resources and lots of reserves to fill the plant. So that's an obvious sort of advantage for us.
Matthew O'Keefe: And is this study going to be done in time to factor into your comprehensive mine plan midyear or is that something that we'd look forward to after that?
Graeme Sloan: No. It's -- it will be -- the way things are shaping up, it should be part of that plan that we're looking at. And as I said, it's -- there are a number of options we do have open to us, and that's certainly one of them.
Matthew O'Keefe: Okay. That's great. Okay. That's clear now. Just another -- a couple of short ones here. Just the Dumont Nickel Project, I mean, there's still -- they're up to $30 million, I think, for you to receive on that deal. Any updates or status on how that transaction is proceeding, I mean, is Waterton given you any insights?
Oliver Turner: Yes. Yes, it's a good question. And obviously, with the excitement around the EV industry and a lot of capital flowing into nickel projects around the world, there certainly has been more attention paid to Dumont than in previous years. We have regular dialogue with Waterton in terms of updates on parties that are knocking on their door and parties that are conducting due diligence. So as expected, there's certainly interest in the project given the current nickel environment. So if there are any developments there we'll measure to update our shareholders, but we're confident in there being a sale of that project over the coming years.
Matthew O'Keefe: Yes. So -- but they haven't given you any thoughts or any guidance as whether it's -- they're looking at a one-year or two-year time horizon, like there's a window of guidance for that?
Oliver Turner: We don't have specific guidance in terms of when the sale would be expected, of course, the parties that are coming in are subject to their own due diligence periods. So there are parties that are looking at the project as we speak. However, of course, they have to complete your do deal with this before any offers are made.
Matthew O'Keefe: Got it. Okay. And then just one final quick question. You mentioned the Australian -- a potential Australian listing, and Paul is obviously getting back to head down there. What's the status of that? I mean I've been talking about for a while, are there any major problems with that? Or is it just a timing thing?
Oliver Turner: Yes. It's mostly a timing thing. We've already completed a lot of the legal and regulatory work required for that listing. We were down that path last year. Obviously, things changed dramatically when COVID-19 impacted world capital markets and everything and everybody. So a lot of that groundwork is done. There are typically two windows, which you look at launching an ASX listing, and we're certainly targeting the one that would be more so in the fall. One of the important things to note here for us is that this is a demand-driven listing, it's not a listing seeking demand. So we have had very strong demand from Australian institutions for us to list over there. And we're making sure with all moving over there, obviously, that we'll be able to get in front of them and properly market the listing, but it's all looking very good for a potential listing later this year.
Matthew O'Keefe: Okay. Yes, that was -- my follow-up was really the rationale to that listing. And do you know -- have an idea of what your current shareholder distribution is, North America versus Australia or other?
Oliver Turner: Yes. As it stands today, we were predominantly North American with some strong European shareholders as well. We do have one Australian fund that has a strong position in our stock. However, typically speaking, the Australian funds don't venture over to acquire TSX paper. There's also a very large pool of capital in Australia that's focused around their superannuation programs. Over $1.6 trillion worth of capital which remains captive in Australia and must be deployed into Australian listed names. So we're certainly excited in terms of getting in front of some of those institutions that have access to that kind of capital. So obviously, this is the plan here being that we'll have more Australian institutions owning the stock by the end of this year.
Matthew O'Keefe: Okay. That's it for me. No. And again, it's been a really busy year and some great accomplishments. So congratulations again.
Oliver Turner: Thank you.
Operator: Your next question comes from Ian Parkinson from Stifel GMP. Please go ahead. Your line is open.
Ian Parkinson: I hope everybody on the line's keeping well and healthy in these challenging times. Oliver, how should we think about gross capital spending for 2021 and then the timing on a quarterly basis? Can you just kind of run me through how it's distributed through the year?
Oliver Turner: Yes, absolutely. So obviously, with Spargos coming online by midyear, we've already begun some of that preparatory work in terms of getting Spargos ready for for mining and some of the minor infrastructure required there. So you will see capital start to spike up in the first quarter. That -- the first half of the year will obviously be capital being deployed into sps. And then as we get into the third and fourth quarter, there's potential for our Aquarius open pit to begin earthworks as well. So along with grade improvement, you'll have capital be slightly weighted towards the first half of the year grade improvements will drive ounce increases towards the second half of the year. With respect to Beta Hunt, we expect capital to remain pretty consistent there over the course of the year. We are currently driving some additional ventilation raises to improve ventilation in the bottom parts of the Beta Hunt mine. So you can expect some of that capital to be attached to the first and second quarters as well. So that should put us in a pretty good position for the second half of the year with respect to financials.
Ian Parkinson: Okay. Great. And just one more quick one. So looking at the mill expansion, is there anything within that supply chain of equipment to gear, et cetera, that's required, that's causing you any concern? I mean we've just seen a few cases in the industry where, whether it be steel prices and their rapid escalation or spare parts availability. Is there anything in there that we should be concerned about that will make that end of year target a risk?
Oliver Turner: That's a very good question. And I think I'll hand that over to Graeme, given his his feet on the ground and finger on the pulse in terms of what's moving in and out of Western Australia.
Graeme Sloan: Ian, yes, look, at the moment, the mill expansion isn't overly owners as far as the new equipment we require. It's more modifications of what we have got there. And there is sort of one or two pieces that will come from outside. But the rest is really contained within what we have got. So it's -- and so we don't expect to see any sort of delay, certainly not on what we're seeing at the moment and I don't forecast to see it either.
Operator: [Operator Instructions] Your next question comes from David Talbot from Red Cloud Securities. Please go ahead. Your line is open.
David Talbot: I continue the trend of congratulating you on a great quarter here. Just regarding the $32 million of debt on the balance sheet, can you give us an idea of what you're looking for sort of in efforts to refinance this debt this year?
Oliver Turner: Yes. Thank you, David. I'll hand that over to our CFO, Barry Dahl.
Barry Dahl: Thank you. Yes, we're looking at refinancing that debt at a lower rate and getting a revolving line of credit available for the expansion plans that we'll be releasing later in the year.
David Talbot: Okay. So short and sweet then. I guess on to a second question here. You took care of royalty costs quite nicely. And you did make some comments following Tom's question about capital -- sorry, about the all-in sustaining costs. I'm just curious what sort of cost control initiatives are underway at the operations? And should we see a near double in mill throughput, what sort of cost savings might we see?
Oliver Turner: That's a good question. With respect to cost control, I'll hand it over to Graeme to further elaborate. But we've gone through a tremendous year or a period of 18 months really through to the end of last year. With respect to optimizing our performance at the mill side of things with respect to availabilities, obviously, improvements in recoveries, but also improvements with procurement of items and talking to our top 20 vendors with respect to negotiating better contracts has been a big part of that. So a lot of the cost performance and advantages we can take have already been executed on over the course of the year. We have much stricter controls in place now with respect to all of those cost inputs. So I certainly wouldn't expect any cost inflation as all increases throughput, obviously, you're spreading a fixed cost over a greater tonnage basis. So, on a per ton basis, we would expect costs to come down. And certainly play into our own sustaining cost metrics. That's part of what we will outline in our growth plan and what we expect to deliver as multiyear guidance to the market. As part of the growth plan, so you'll see some of the benefits of those cost improvements flow through there. Graeme, I don't know if you have a couple of things to add there.
Graeme Sloan: Yes. Just on that, with -- David, with the costs there, I think we've looked at the top 20 costs across the group. And we've been targeting those now for some 12, 18 months. And we're seeing some really good reductions in a number of those top ones, especially around fuel, power. And we're starting to work now into the reagent section of the mill where we now have the mill sort of probably optimum performance for what it is. And we've been able to minimize the amount of reagents and still get the recoveries and the throughputs that we like. And we've also sort of made some pretty big improvements in costs in the underground section, where we've increased the efficiency. We've come back from -- we've looked at how even the blasting techniques we've used, the type of explosive we used. The actual the size of the diameter of the hole that we're using in the stope blasting have all been changed and they all sort of now getting some really good cost benefits flowing from those. So lots of effort, lots of individual projects, and as I said, we have a project team and one of the key aims and targets is to minimize the top 20 costs and keep an eye on those looking at it. So yes, lots of work and some good results coming out the back end.
David Talbot: Okay. And then as you're moving into multiple deposits you're this year, do you see yourself keeping on top of these changes, being able to deal with the different net coming through?
Graeme Sloan: Sorry, I missed it. You just broke up a bit there to just repeat that again for me?
David Talbot: Yes. Sorry, just a question about as you start producing for multiple deposits, do you see yourself keeping on top of these changes and being able to deal with the different metallurgical environment you're working with?
Graeme Sloan: Yes. We're pretty fortunate in the vast majority of the resources and the mining areas that we're now sourcing or from the metallurgy pretty solid. It's not difficult. It does get a bit scratch here around Spargos, but our work to date shows we should still be around that 90% for Spargos. Beta Hunt, still very good, up to 95%, 96%. Higginsville's around the 92%, so overall, our average grade, and that comes back to one of the advantages that we have got, we are able to blend the right product into the mill to optimize that recovery. So, yes, we have a number of stockpiles, and that allows us to do that blending quite efficiently. So, no, I don't expect to see any issues around recoveries from what our current project or life of mine.
Operator: We have no further questions. I would like to turn the call back over to Oliver Turner for closing remarks.
Oliver Turner: Thank you. And thanks to everyone, again, for joining us today. Look, we had a fantastic year in 2020, and we're certainly excited, as you can probably tell by our tone on this call, in what we have ahead of us in 2021. We look forward to reporting on all of that progress. And of course, our organic growth plan to the market in the coming months here as we move the business forward. So I wish everyone the best. Thank you, operator, and thank you, everyone, for your time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.